Operator: Good morning, ladies and gentlemen. Welcome to Vale's Conference Call to discuss Second Quarter 2019 Results. At this time, all participants are in a listen-only mode. (Operator Instructions) As a reminder, this conference is being recorded and the recording will be available on the company's website at vale.com at the Investors link. This conference call is accompanied by a slide presentation, also available at the Investors link at the company's website, and is transmitted via internet as well. The broadcasting via internet, both the audio and the slide changes has a little seconds delay in relation to the audio transmitted via phone. Before proceeding, let me mention that forward-looking statements are being made under the Safe Harbor of the Securities Litigation Reform Act of 1996. Actual performance could differ materially from that anticipated in any forward-looking comments, as a result of macroeconomic conditions, market risks, and other factors. Today with us are Mr. Eduardo de Salles Bartolomeo, President and CEO; Mr. Luciano Siani Pires, CFO; Mr Marcello Spinelli, Executive Officer for Ferrous Minerals; Mr Mark Travers, Acting Executive Officer for Base Metals; Mr Marcos Medidatas, Executive Officer [indiscernible]; Mr. Luiz Eduardo Zayo, Executive Officer for Sustainability and Institutional Relations; Mr Alexandre Pereira, Executive Officer for Business Support; Mr Alexandre Dambrosio, General Counsel; Mr. Juarez Saliba, Director of Coal, Strategy and Mineral Exploration; and Mrs. Marina Quental, Director of People. First, Mr. Eduardo de Salles Bartolomeo will proceed to the presentation on Vale second quarter 2019 performance, and after that he'll be available for questions and answers. It is now my pleasure to turn the call over to Mr. Eduardo Bartolomeo. Sir, you may now begin.
Eduardo de Salles Bartolomeo: Thank you. Good morning, everyone. I'd like to begin by expressing our respect for the families that have been suffering since the dam breach in Brumadinho. I want to thank once more our employees, the authorities, the firefighters, the civil defense, and the volunteers; all of them deeply engaged to provide support and comfort through such strategy. Safety, people, and reparation; these three words will continue to be our priorities and define our actions seems I took on the responsibility of leading Vale. The safety of the people who work in our operations, the people from our communities, this is our obsession, this is what moved us to transform the company; and if you'll be the safety of our assets in our processes that we ensure the safety of the people in our operations. Please, next slide. Vale is totally committed to repairing damages. Over the past six months, we have made progress with countless measures we sure the safety of the people and to repair. Special department for recover in development coordinated by March has been working with agility and flexibility with the objective of alleviating the softening of the families as well repair in the losses interacting directly with communitie end of parties. Care for people is fundamental increase in the financial security the families is only a part of that. On this front, we have a diverse it with individual agreements with those who reach for us. At the same time we have open a dialog with all the authorities involved with the reparation efforts. So we can do together a fair and quick solution through collective agreements. An example is the agreement established in July, with the Public Ministry of Labor of the State of Minas Gerais, which the participation of workers unions and already had legal approval. On the environmental front, we have submitted a tailings contained plan to the authorities. We have completed salary structures in the Ferro-Carvao Stream water basin, to ensure that no more tailings are carried from the dumps breakpoint, tower de Paraopeba river. For a quick repair of the damage infrastructure, a package of work is underway and includes, among other projects, the maintenance and improvement of some 700 kilometers of roads in Bomargue and region. Lastly, we continue to give transparency to the investigations into the cause of the strategy. Two investigations started internally, one conducted by a panel of specialists and the audit by independent committee, are also ongoing. Please, next slides. Our safety and risk management is being reinforced. We are on a journey to transform Vale into the safest and most reliable mining company in the world. The new safety and operational excellence executive office is independent from operation and reports directly to me. This structure, strengthen our strategic pillar, and aligns our safety and risk management governance with the best benchmarks in the world. Carlos Medeiros is with us in the call. With solid experience in managing large transformational projects, will be an important leader on this front. We focus on safety and operational excellence at Vale. We continue to search for best ways to raise the safety level of our assets. We have been working to accelerate the de-characterization of nine upstream dams in Mizories and we expect to deliver the first to complete the commission dams bay or 8B in the first half of 2020. In June, we were able to increase the safety level of the Vargem Grande dam, thus people were able to return to their homes. This is the result of a series of improvements that Vale has been implementing in the structure since January, such as lowering the reservoir water level and cleaning the drainage channels. Please, next one. Well, we are so advancing our strategy, as we said at the end of the first quarter, Vale's strategic agenda we also be the one off continued focus on the three strategic pillars established in 2018. Strong discipline in capital allocation maximizing the flight to quality in iron ore and turnaround in off Base Metals we have made progress in exporter, is still a transitional quarter for Vale, which has a premise of reducing risks in our business. With the point above our satisfying Nelly as Executive Director of ferrous and [indiscernible], taking the leadership coal business, we have taken important steps towards the stabilization of production in the reliable and sustainable development both business. In Iron Ore we have made substantial progress as mentioned in our last call expectation of resuming operations, the book-to-iron ore mine was confirmed in June. We have also partially resumed dry processing production at the Vargem Grande complex and we are having conversations with the National Mining Agency to restart other dry processing operations as well. Maximizing the flight to quality neither remains one of our top priorities accordingly, I would like to confirm today the conclusion of Ferrous acquisition, which was announced in December last year and recently approved by Catch the Brazilian antitrust agency this acquisition will increase production with high quality pellet feed at competitive costs our effort to transform Base Metals are ongoing in this quarter we performed strongly at the Sudbury mines in Canada. In New Caledonia, we have the biggest challenge of the Base Metals business our approaching VNC has been the full on motivation of the management system. One example in this regard is the preventative maintenance plan other implementation our expectation for Base Metals, as previously stated is to see the first results of this transformation, starting from the fourth quarter. As for call we are working to stabilize production and overcome the operational challenges that have impacted our performance. We are developing our knowledge of the deposit in which will allow us to be more assertive about Vale [ph]. Finally, all of our actions most support our new pact with society. We want to restore society's trust in our ability to operate with safety while creating shared value fostering sustainable economic development in the territories, which we operate. We are committed to the redefinition of mining in Brazil and around the world. It's important to reinforce that we are going towards great reliability. The quarter reflects the transitional period we had great pressure on volume and costs. Which are already starting to show a positive trend for the coming quarters. The reduction of uncertainties in our business is in progress with actions to improve safety and risk management with actions to stabilize production in all lines and with greater venerability [ph] of expenses with Brumadinho and others. Resuming operation in Brucutu and part of the dry processing of the Vargem Grande complex is an important step to restore [indiscernible] in iron ore. On the financial and operational perspectives, we have had a strong cash generation, which will help us on our commitments to society and strengthen our balance sheet further. Luciano will give more color on these points later. We believe we are on the way to a fair in quick reparation and to the rebirth in the medium-term. We continue to work tirelessly to increase our safety support the people and repair the damage caused. I'm confident that this ongoing change will transform Vale into a safer, more sustainable, and even more human company, a better company. Thank all you for your time today and I'll now pass the word for Luciano to make the comments on the financial results.
Luciano Pires: Good morning and good afternoon. I will start going through the provisions. As you saw we provision about $1.2 billion of a total of $1.5 billion on environmental reparation this quarter. Key message here is that now we have a comprehensive level of provisioning to all the scopes that we believe will be the subject of our reparation. Any changes to those provisions will come from a refinement of the numbers going forward, as we get more information about how the programs will develop. So you should not expect any additional scope to be included in the provisions. How do we get to those $1.2 billion in environmental provisions? We based ourselves on the agreements already signed that we already know what we need to do on this topic, we based ourselves in the agreements which are under negotiation for which we already have a clearer view of what the final scope will be and we're also including compensation measures. We already have also indications about what kinds of compensation the authorities will demand for the environment. So, for example, these provisions they include tailings removals, dredging of the river, recovery of [indiscernible] heads, recovery of degradation areas, and even center sanitation compensation efforts. Water supply security for some of the cities, water sourcing alternatives, water treatment stations. So this is a very comprehensive. In total, so we have already booked in our balance sheet $5.7 billion, including not only the environmental social-economical, but also the provisions for the commissioning of dams. Relating to the business now, going to iron ore. On the volumes, just to make a simple calculation for you, of the $400 million nameplate capacity that Vale has at one point in time, we had $90 million tonnes stopped plus $9 million tons of the cargo mine in Brumadinho which we will never come back; so therefore, our production capacity bottomed at $300 million tons. Now we have about $30 million back in Brucutu and $12 million of dry processing inversion branch. So therefore, as we speak, we have a total production capacity between 340 million and 345 million tons annualized. And additional come backs of operations will add to that number. In terms of costs, as you saw there was an important increase in costs from the first to the second quarter. Three main drivers for that. The mortgage costs which we underestimated when we spoke to you on the last call, this is completely normalized now. The line of vessels is back to normal levels. There is the iron ore prices which impact the purchase of feed from third parties. And that's good news, but it has impact on costs. And there is the cost carryovers because of the 45 days to 60 days, which takes from production cost to flow through inventories and then to be sold. If you take this you have approximately $160 million of excess demand and the lack of [indiscernible]. And if you add on top of that the $351 million of stoppage in other expenses related to Brumadinho, of which $225, and you find all those numbers in the release relates to stoppage expenses themselves and $126 to logistics extraordinary expenses, when you add all of this, you get to approximately $500 million of ongoing recurring effects on the business related to the stoppages and to the consequences of the Brumadinho dam breach. So what we're telling you is we have addressed the reparation cost fully to our best knowledge on the balance sheet. However, we had $500 million of recurring business impact of which we expect a reduction going forward. Wide reduction. We expect $2.5 per ton reduction on C1 because of the elimination of the demurrage effect cost dilution and the reduction of the carryover effects on cost and we expect $1.5 per ton of reduction in expenses related to the comeback of some which naturally reduce the stoppage expenses. When you add those $2.5 plus $1.5 multiplied by production, we expect of those $500 million recurring impact on the iron ore business, $300 million will be out of the financial statements next quarter. So that's the size of the improvement we're expecting going forward. Another topic important in iron ore is freight. You saw the very steep increase in spot rates in the month of July, reaching $27 per ton from Brazil to China. This will not meaningfully impact value on the third quarter, we expect a very small marginal increase in our average freight rates. The main reason for this is because of the smaller production, our exposure to the spot market today is minimal. On the fourth quarter, if you want to discuss we can do it later, we will start to see some effects of the new IMO regulations which will then be mitigated over 2020 and 2021. But the freight rates on a relative basis, the freight rates for value will remain very competitive even in this environment of increased freight rates. Talking about the other business just very briefly, I would like to stress the very strong performance for copper. We will reach our guidance this year. And why is this important? Because part of the copper production comes from the Canadian mines. The Canadian mines are performing very well. The mines, the mill, the smelter and you're not seeing in this and the nickel numbers because of specific problems we had with the refineries, but the copper production doesn't flow through the refiners. So it is proof that with the turnaround of basement to bear fruit in Canada, that we are increasing by more than 30%, the copper production from Ontario this year and we're going to reach our guidance. It's going to be very strong, Q3 and Q4. In Nickel, Q3 will post an improvement. Although because of the scheduled mine maintenance is not as strong as what we will see in Q4, which will then be very strong. Do not expect improvements yet in New Caledonia, in the second half, we may discuss this in the Q&A. You saw a little bit of financing costs because of the additional debt that we took over to buffer up our cash resources in the first quarter. This additional debt has been repaid. So financing cost will come down over the next quarters. When you look at net income, we had also impacts, non-cash impacts that go beyond Brumadinho most importantly the Germano dam, which is of them at Samarco will be decommissioned as well. We have an estimate of over $500 million to be the commissioning. So value share was provision and we also had an update on the indemnification expenses through the Hangover Foundation in Samarco and value share $383 million was also provision. Investments came in low, but they will recover in the second half. So we still expect to reach over $4 billion in investments this year. And in summary, and you saw the very strong cash flow numbers which will naturally improve in the Q3 and Q4. So in summary what we expect or the second half of the year is marginal variations in the provisions on the balance sheet related to Brumadinho decreasing costs and higher production volumes with the recovery of the operations some already announced and some that we expect.
Operator: Excuse me. I'd like to make a correction, the name of the Executive Officer of Safety and Operationalized Selling is Carlos Medeiros and not Marcos, as I said before. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Carlos De Alba, Morgan Stanley.
Carlos De Alba: Good afternoon, gentlemen. First question would be on what are the next steps on concluding the agreement or the framework related to the Brumadinho event. When do you expect or when can we expect perhaps to have the sign off of the prosecutors and the other authorities in Brazil so that we can or the company and the market can close this tragic event and you start focusing on natural reparations and indemnifications which I understand you have already started. And my second question is regarding the restart of the $20 million dry operations that you had that I see in the slide that you presented. When I read in the release is that by year-end, they should be restarting. But does that mean that only at the beginning of next year they will start producing or should we or can we expect a ramp up, a gradual ramp up throughout the second half of the year and therefore, by the beginning of next year, the $20 million run rate will be already achieved? Thank you for the clarification.
Eduardo de Salles Bartolomeo: Carlos, like in the case of Samarco where you had one single agreement to address all the topics of the civil lawsuits, we've been addressing specific matters of the civil lawsuits one by one. So we have already 15 agreements, which has been already settled, which means that the scope of the remaining agreements to be signed keeps reducing. There will come a point when the authorities feel that all the relevant topics of the lawsuits have been address that, yes, there can be a suspension of those lawsuits and through the progress that we've been making, we expect this to happen until the end of the year. But what is important to notice is that you talked about closing this tragic event. From a perspective of estimating the total financial impact given all the negotiations that are ongoing. We expect this to be a quarter of closure, but from a legal standpoint, obviously we need to see the agreements will be signed one by one. One concrete example of that is that we, in the first quarter, we made a provision for the reparation of our employees and the families of the deceased employees and we finalized from a legal perspective, the agreements this quarter, and we actually eliminated the civil lawsuit. And the difference between the final agreement and the original provision was small. So that's the dynamics that we expect going forward. There will be perhaps some differences in the, actual numbers and the provision numbers up or down. But from a scope in perspective, everything that we know and that's on the table being negotiated with the authorities is being taken care off and we have an expectation that until perhaps will address all the issues from a formal perspective .
Unidentified Company Representative: Carlos, this is Marcello Spinelli [ph]. Thank you for your question. It's a pleasure to talk to you. It's my first time here regarding the production, we already have our one-third that we are already, talk about the Tri-operation just reinforce already have the return of the peak production about [indiscernible]. And just to answer, that's a gradual return. So just you have in your mind, what is based on, we need to prove and talk to the National Mining Agency that we don't have any impact in the dams. So that's that we call a seasonal impact. So we need to check with the engineering test to guarantee that we can return step by step the operation, so we are committed to have this return in the next six months. And just to reinforce what you said we expect to have the run rate operation in the next year, but to recover partially the operations during the next semester.
Operator: The next question comes from Timna Tanners, Bank of America Merrill Lynch.
Timna Tanners: Good morning and thanks for all the great detail. I wanted to take a step back and ask if you could give us some detail on the expansion plans in the Northern System and remind us about your progress of your projections there, timing-wise and also the necessary infrastructure involved to get to the increased production targets. My second question was really hoping for more detail on Nickel [ph] also a bit high level. So I know in the past you've talked about potentially consolidating or divesting some of the underperforming assets, but there's also been some headlines about some potential big investments there. So just wondering if you can clarify how you're thinking about that business over the medium term. Thanks very much.
Eduardo de Salles Bartolomeo: Hi, Timna, thanks for the question. I think the process undergoing there is an operational turnaround. We need to structure the business to be able to whatever route we can. So, I think as Luciano mentioned, we've been doing progress very well in Canada, and really struggling with New Caledonia as we already said. So for that sense, we keep our strategy to catch the upside of the electric vehicles for the Nickel, and as I think some of the answers that have been made in Indonesia are around joint ventures that will be created internally funded by the PTVI, by the way. Sorry, Timna. And there'll be self-funded from the PTVI. So basically, Nickel [ph] is focused on transforming the business on transforming the operation and having the assets on a condition today they are supposed to be. Most importantly, as I already pin-pointed VNC that is really underperforming. So I think nickel is up to capture the upside from electric vehicles. And I think the expense plans for the -- I'll pass the word for Spinelli .
Timna Tanners: I'd like to before you go on perhaps you should comment on Indonesia, because that was perhaps the headlines that were mentioned by Timna.
Eduardo de Salles Bartolomeo: I mentioned in the Indonesia. I think there was exactly when we had the problem the phone those headlines they related to the investment that has to be done in Indonesia for the resource, but they will do on a joint venture basis and fundamentally through the financing of the PTVI. So it's going to be an equity finance exposure of risk and finally is being discussed. It's not being approved by the way, so it's just a matter of the development of the resources in Indonesia.
Unidentified Company Representative: Hi, Timna, thanks for the questions. A pleasure to talk to you. That's divided in three steps first one is about the ramp up of the S11D is going really well. We're in a run rate this quarter off to 130 million tons. We expect to expand the system the North Northern System to show 140 on the second half of 2022 and we are already planning, we didn't have yet the conclude the product where you're planning to expand the S11D to $150 million tons, so we're going to have further information about these expansion when we get the final details of the New Year.
Operator: Our next question comes from Chris Terry, Deutsche Bank.
Chris Terry: Hi, Eduardo and Luciano. Thanks for taking my questions. The first one is on the pellet market you have guidance that this year at around the $45 million ton level, does this include the acquisition of the $4 million tons. I don't think it does. But can you just talk about your pathway back to $60 million tons and above. And also just some thoughts on how Samarco might fit into your medium-term pellet guidance. Thank you.
Eduardo de Salles Bartolomeo: Well, thank you, Chris. For your question regarding pellet market. Well, where we have the constraints in production. We now have the number of $45 million tons of production this year depends on the pellet feed production that we are out of product in the South in system. So regarding the production, today we are full in to borrow and the North System and also warm to recover about $11 million to $15 million tons of production in Southern System, we need to recover the production of pellet feed that we still have to wait for the return of the wet production in the Southern System so gradually going to return this production in this case end up more mid to long-term view and almost sure years we can see , these plants Fabrica and also working using some product from '30s, but we still don't have the total capacity to return this plant. So we plan to recover this in the fuel months, but we need to guarantee the pellet feed production to have this.
Luciano Pires: With regards to Samarco the expected the restart for some with second half of 2020 but Samarco will restart with only a 3rd of its capacity. So $10 million tons and still this 3rd will be subject to a ramp up to add a second concentrator to Samarco hence on additional work. Awards tailing systems Samarco had a plan to restart the second concentrator or soon thereafter. The first concentrator. But these plans were jeopardize because of the new regulations following but imagine you currently working on adjustments to its business plan to see when the second concentrator should restart. And the third concentrator even in the original business plans would be dependent on the permitting of a brand new structure, probably a new tailings dam which becomes even more of a constraint in the much medium to long-term future. So do not expect Samarco to make a meaningful contribution to seaborne pellet markets in the short term.
Operator: Our next question comes from Petr Grishchenko, Barclays.
Petr Grishchenko: Hi, good afternoon gentlemen. Just one question. Really I just wanted to ask about the $20 million tons of dry processing you're potentially going to bring back. I just wanted to ask, given how quickly the Vargem Grande capacity was restarted, could we expect in the next $20 million tons of dry processing could restart sooner in the year-end. And could you also give us some clarity on how that dry processing output will influence your product mix. Thank you.
Luciano Pires: As I told, it depends on negotiation and also studies in engineering design to test, actually the, impact of the regular production. The dry production in the Downs actually we need to do these side by side with the national agency. So they have aligned to progressed is analysis and return step by step. So the first one was to People, in the washing energy production. So you're waiting to recover about us team whereby Liguori fabric so step by step, we are expecting to do this in the next six months, so the recovery is gradual and we are waiting the first quarter of next year to have a run-rate production of the other $20 million tons. Regarding product mix, it is important to say this, product will feed our [indiscernible] after the Brazilian fine brands that that we blend with the Carajas fines. So it's very important product to guarantee that we have the total use of the Carajas and an important product to the market. So this we are all feed the BRVO Carajas cannot be mixed with all the lower quality ores to make BF because the specific product from the South. The dry processing from going to for example has very low alumina and the key feature of the BRBF is low alumina so whenever you bring Vargem Grande you back for example you do more BRBF which we couldn't do otherwise.
Operator: The next question comes from Grant Sporre, Macquarie.
Grant Sporre: Hi, good afternoon gentlemen. Thanks for hosting the call. I'm just two questions on my part. And just a small sort of technical one the Vigor mine just way which system will it be revised tons be reported under. So a very simple question. And then the second one is, is it through soon to be restoring the old dividend policy. Just given that you now have more clarity on provisions, your debt has come down and the cash generation in Q2 was very strong, thank you.
Eduardo de Salles Bartolomeo: Hello, Grant. So pleasure to talk to you all. Well, the federal production will be connected to the South complex. So we can use to feed our plans of fabric the privatization operation. We still contracts in place that we need to finish. So we're going to, keep this contracts at the end of the year. We have a decrease of the (inaudible) up of this contract. After this end of the year, we can use the product to feed the production, the South system.
Luciano Pires: Okay, great, thanks for the question. Just to be very clear, we are not discussing dividends now our focus is totally on the reparation and restoring our risk profile accompany. Okay, thank you for your question.
Operator: Next question comes from Tyler Broda, RBC.
Tyler Broda: Great, thanks very much for the call today. Everybody my question actually just going to ask that similar question to Grant. But I guess I'm well, while I'm on the line, can you seen with any of the falling Chinese steel margins you've seen any change in the behavior of your customers?
Luciano Pires: Well, the margins off two market in China will depend on the production and to keep the strength of the market there solved. We really believe in three components that still pushing the sales and the production. First one is, about the property market that we think that's slowing down but not really in something that we need to be [indiscernible] is not reinforcing. But I want the other hand, we have the manufacturing the production of manufacturer investment that can recover. So, considering this part of the balance of supply-demand, on the supply, we see the pressure -- we still have the recovery of Vale in the other majors, Australia majors. But I will still have a gap in the stocks. So this is a gradual process to rebalance the demand and the supply. So the price is still high, they were pressured by the raw materials cost. And we still see a constrain in the narrow margin for this market.
Eduardo de Salles Bartolomeo: Okay. I think just for coming back to quite Glenn's question on, I think -- sorry. Tyler's question about dividends being very clear that we have other options to do. In Luciano we will explore a little bit where our mines are in the short-term. As I mentioned, focus on with bearing in due time, we will come back to discuss that. But there are other options that we can discuss as well.
Luciano Pires: We are very mindful of the needs of our shareholders and no one more than us would like to get back to normal, so we can resume dividend distribution. In the meantime one way of the way we are thinking about the balance sheet is, you saw that with the releases of funds, our pro forma net debt is about $8 billion today. There is another $1.8 billion of leases in the balance sheet, IFRS leases. And those $5.7 billion that were provisioned, they will need to be disbursed at some point in time. So one should think perhaps of these $5.7 also as a liability when you think about capital structure. But it is also true that if the cash flow generation was strong in the second quarter, it will be even stronger in the third and fourth quarter. So if you think about our $10 billion target net debt when you put this altogether, we're not there yet. But on the other hand once the cash starts coming in, there is no use, alternative use for it in projects or whatever rather than manage the balance sheet and perhaps make and [indiscernible] for future distributions. In terms of use on the balance sheet, we can, yes, address part of those leases, which today consume financial expenses and there are other liabilities on the balance sheet, for example, minorities still have shares in our MBR, one of our subsidiaries. And there are others that may be addressed on the second half. If eventually the balance sheet becomes under-levered, this will be fixed when the, let's say, the social license to pay dividends comes back, we will likely relever the balance sheet in order to do the proper distributions going forward. But this is a, I'd say a medium term of management shorter-term as Eduardo underscored. We are not discussing because we are very mindful of what the homework we need to do first.
Operator: The next question comes from Alex Hacking from Citi.
Alexander Hacking: Hi, and thank you for the call. I have two questions related to iron ore. First question could you discuss your inventory strategy in the second half of this year. And then the second question once Vale is back $400 million tons in 2 year or 3 years' time, should we think about your cost structure being back where it wasn't historically or will there be some long-term effects from Brumadinho in terms of operating costs? Thank you.
Luciano Pires: Alex, thank you for question. This is Luciano. Well, the first half we use about $6 million tons of our stocks to guarantee the sales and actually it was a trend in the market in China, we could see a decrease of $30 million tons. So what we see is the supply-demand is more in the trend to recover a balance. We don't see for our market fast recovery of the venture but some mid-term process to recover the new ventures. So that's what we expect with the decrease of the ventures into whole China for the whole suppliers.
Eduardo de Salles Bartolomeo: For all practical purposes, we believe the cost structure will return to the 2018 levels. From a strategic perspective, perhaps obviously Vale will spend more for example on dry stacking, we will accelerate our plans through new steel to do dry concentration. But the impact on the cost structure will be marginal in the longer-term and more than compensated by the ongoing cost reduction initiatives digital transformation, operational excellence and cost cutting. We're reminded, just a note for you, in May of this year, so two months ago S11D reached the nameplate business case cost performance of less than $8 per ton. So we reached $7.7 per ton at S11D. As the S11D proportion in the overall of Vale increases and you're not seeing it today because of all that noise around the cost structure, structurally, you could have a lower cost structure because of the larger share of S11D.
Operator: The next question comes from [indiscernible].
Unidentified Analyst: Yes, thank you very much. I have one question and apologies if it will be a simplistic one. Just trying to understand your production performance in iron ore and put this into context of your guidance. In Q2 iron ore production outside of Northern System was in annualized terms, roughly $90 million tons. In Q2 last year it was around $200 million tons. And the average over the last 3, 4 years was also around $200 million tons, so we're talking about a roughly a decline of magnitude of about $110 million tons. How can this be reconciled with $93 million tons, which as you show in the presentation was the effect of those stoppages. What was the additional impact in Q2 that led to stronger decline? Thank you.
Luciano Pires: Well, that's a hard question. I would guess that we are talking about typical variations and we may have had a weaker quarter in some operations in the South. But I'm quite sure that we -- actually, when we talk about $90 million is $93 million. That this is the loss of production. Every operation has some long-term trends towards production sometimes, for example, the production within Mariana has been coming down slightly over the years. Production at in [indiscernible] had a great jump in '15 and '16 and was coming down recently. But you can be pretty sure that the bottom of the production capacity of Vale was 300 million tons when we had 93 million tons stopped plus 9 million; so that's a good point. One piece which is missing is the 9 million tons of Brumadinho itself which will never come back. So when we say that we have 93 stopped the actual total loss was 102, but it's the 93 which may eventually come back, plus 9 that will never, never return so that accounts to half of your difference. I'm pretty sure that the other half is small variations amongst the different operations and as a consequence, which is implicit in your reasoning is that the Northern System is increase and compensating part of this larger loss in the South, so today the total. When we talk about $400 million tons of capacity within Vale. People should think more of 22 to 30 in the north and 180, 270 in the south. So that's what we need to do is to try to recover this 180 production in the South in the Southeast.
Operator: Our next question comes from Alfonso Salazar, Scotiabank.
Alfonso Salazar: Good morning and afternoon, and thank you for the good time. I have two questions, the first one is regarding demand iron ore demand outside China because what he do we have seen in the first half of the year to stay strong crude steel production in China, but not so in the rest of the world. So if you can comment on that and also keep in mind that there is an increase on ferrous scrap use in the past years, so how do you see that evolve in times. The second question is on the new pact with society that you are one of new strategies. If you can comment on some pretty specific on the timing; what, how do you plan to implement that certainly public opinion and the investors need to understand that value if looking on the street are standards from now on. So if you can give some detail details on these as well. Thank you.
Unidentified Company Representative: Thank you for your questions. This is Spinelli speaking here. As I've said China is this, which a lot of pressure and the demand actually making the price higher we expect a 5% increase in the production and the demand there. Ex-China, we are confident in the lower growth 1.5%. We have some pressures in some markets regarding the problem of the high price -- the specific for China, but they are the price setter of the market. So we have been in Europe some production there. A slower with a lower growth then we expect in the, beginning of the year, but they are keeping the growth 1.5, that's what we are working on the, in our forecast.
Luciano Pires: Alfonso, thanks for your question. I'll try to be brief. This fact he starts with fundamental thing that society has to address that we can operate safely, that is a broader discussion has to be done with society has to be done with the regulators. We have the associations. In Brazil, we are talking with the brand year for instance on that sales and in the world we're talking ICMM as you know is developing new standards for mining. So first of all, safety is the key issue here. Second, we have to expand developments where we operate. My dream is a good example because you will stop the suddenly you have to restore economic development there or you should prepare when that happens in the sense of it. EBITDA is something that's coming. So you need to prepare the new phase after mining it's so developing the territory. It's is a very important element in that. And thirdly, we are going to start discussing a lot has to do it even with the scrap that you just mentioned we need to create an environmental benefit for society as miners. We have to look at the chain. We have to go beyond scope one in two, we have to look at scope three. So we redefining our carbon footprint. We announced last year in validate our DDA at GDS ODIs sorry translating the English ODS with (inaudible) and we are going to expand that we're going to come, even more aggressive on our strategic plan. So in sum, is operate safe help the territory develop the territory and build a sustainable future for society. I hope I as to they answer do well. Thanks for your question.
Operator: Next question comes from [indiscernible].
Unidentified Analyst: Hi, good morning and thanks for taking my question. I wanted to follow up a little bit more on the debt reduction plan. Can you maybe it would be a little more specific on what are you contemplating with respect to debt reductions. Do you think the company could resume tendering for the bonds as you did in the past or you are more targeting and the loans and bank debts. If you consider tendering and maybe you can provide some color on how you're thinking on the any particular tranche or kind of reduction across the curve I mean any details would be helpful.
Luciano Pires: Peter, this level of detail we cannot disclose. But if you just do the math, it's, pretty clear that we will need to attack everything at the same time. So it's not that we have so many alternatives. What I indicated in my previous analysis of the balance sheet is that also beyond loans and borrowings. There are other liabilities that we may present opportunities for balance sheet optimization. So leases were an example minorities was another example. And there are, others. So that will be the main source uses of funds for the cash surplus until we resume paying dividends.
Operator: This concludes today's question-and-answer session. Mr. Eduardo de Salles Bartolomeo at this time you may proceed with our goals in statements.
Eduardo de Salles Bartolomeo: Okay, thank you for your participation and questions. I'd just like to reinforce as we've been during the call is a transition quarter. We are really moving towards a greater reliability we are improving our safety and risk management. We are resuming production we increased predictability of the expense in Brumadinho; so that's very well said. But I just want to conclude my speech, we the three words that are guiding our work inside value reparation, safety and people once again, thank you for participation and have a good day.
Operator: That does conclude Vale's conference for today. Thank you very much for your participation, you may now disconnect.